Operator: Good morning and welcome to Advantage Solutions Third Quarter 2023 Earnings Call. Today's call is being recorded, and we have allocated one hour for prepared remarks and Q&A. At this time, I'd like to turn the conference over to Sean Choksi, Investor Relations and Strategy for Advantage. Thank you. You may begin.
Sean Choksi: Thank you, operator, and thank you, everyone, for joining us on Advantage Solutions' third quarter 2023 earnings conference call. On the call with me today are Dave Peacock, Chief Executive Officer; and Chris Growe, Chief Financial Officer. After their prepared remarks, we will open the call for a question-and-answer session. During this call, management may make forward-looking statements within the meaning of the federal securities laws. These statements are based on management's current expectations and involve assumptions, risks and uncertainties that are difficult to predict. Actual outcomes and results could differ materially due to a number of factors, including those described more fully in the company's annual report on Form 10-K filed with the SEC. All forward-looking statements are expressly qualified in their entirety by such factors. The company does not undertake any duty to update or revise any forward-looking statements, except as required by law. Please note, management's remarks today will highlight certain non-GAAP financial measures. Our earnings release, which was issued earlier today, presents reconciliations of these non-GAAP financial measures to the most comparable GAAP measure. This call is being webcast, and a recording of this call will also be available on the company's website. And now I'd like to turn the call over to Advantage’s CEO, Dave Peacock.
Dave Peacock: Thanks, Sean. Good morning, everyone, and thank you for joining us. I want to once again extend my gratitude and appreciation for everyone on the Advantage team for their hard work this quarter. Together, we delivered $1.1 billion in revenues, an increase of 4.3% year-over-year and adjusted EBITDA of $113 million, well above consensus estimates. Furthermore, we generated $107 million of adjusted unlevered free cash flow during the quarter, which reflects our ongoing success optimizing our working capital. Our executive leadership team continues to make significant progress on the strategy we're building together to maximize the company's full potential and positions that business for long-term profitable growth. To ensure our successful execution, we continue to invest both time and money behind technology modernization and robust talent management initiatives, which include upskilling key roles and building a more diverse leadership team, reflective of our broader workforce of creating a more inclusive organization for all teammates. These efforts are aligned with the strategic priorities we've spoken about previously, mainly to strengthen our culture, simplify our operations, enhance our processes and improve our financial discipline as a unified company to deliver more value to our stakeholders. We are proud to share updates with you today on our progress and how we are building our plan. Advantage stands at the intersection of CPG brands and retailers, physical and digital retail, national and private brands. Our extensive reach and breadth of services span the entire purchase path by generating demand and converting shoppers into buyers in every way they shop. Our operational scale is unmatched, with more than 4,000 CPG brand clients across 17 trade channels in most of the largest U.S. grocery as well as several big-box retailers choosing Advantage as their exclusive in-store experiential provider. We also have contracts with retailers representing over 100,000 locations to provide episodic merchandising services and private label support. Our business is highly relational and our teammates are committed to serving their part and executing relentlessly. Building trust and working in earnest every day is critical to our success and reflected in our reputation as one of Newsweek's World's Most Trustworthy Companies in 2023. We're ranked number 18 in our category among a list of 1,000 companies around the world based on customer trust, investor trust and employee trust. The recognition is a testament to how we center our success on both relationships and results. The strong enduring relationships we have with our brand clients and retail customers combined with the new business we're winning, create a competitive position that yields critical insights and a strategic perspective on today's shoppers. We regularly leverage our collective intelligence to both inform and help achieve our clients' goals as an extension of their own teams, including how best to play and where to pivot to optimize performance. For example, we conduct a quarterly survey among dozens of brand manufacturers and retailers called Advantage Outlook to gain robust data on marketplace trends, emerging dynamics and the macro operating outlook over the next six to 12 months. These surveys are packed with valuable and unvarnished insights that not only inform, but also provide timely actions for CPG and retailers to consider. The latest Advantage Outlook that will be released later this month reveals several trends that continue to drive demand for Advantage's services. A few highlights from the report include, to deal with persistent unit volume challenges, retailers are working to attract value-seeking shoppers by leaning heavier into key events and holidays, private label brands and shopper loyalty programs to drive sales. Over 40% of retailers say they plan to make room for more private label brands by reducing space for SKUs of national brand products. Finally, labor availability remains an acute challenge this holiday season with some 30% of retailers saying they plan to decrease the number of in-store displays as a result of simply not having enough in-store labor to build and maintain them. That doesn't mean they don't expect a positive holiday season, however. More than half of manufacturers and retailers in our survey say they anticipate growth between 1% and 5% this holiday season, driven by improved product availability, and resilient consumer demand. We will share the full slate of industry-leading insights when we release the Advantage Outlook later this month. All insights and expertise have supported our progress across our business this quarter, the macroeconomic environment remains mixed. GDP growth and consumer spending have remained resilient, whereas inflationary cost pressures and labor availability challenges have persisted across the industry. These challenges are consistent with our expectations, and we anticipate that they will take time to abate. We are experiencing labor cost inflation in the mid-single digits as expected, with the rates slowly moderating on a sequential quarter basis. Given our success in revenue management, we were able to offset the majority of our labor inflation with realized pricing in the third quarter. We remain focused on continuing to pursue full value for our services in an effort to offset this cost inflation in wages and in other parts of our business. We expect to see continued improvement in revenue management going forward as well as we upskill our talent and grow our capabilities in this area. We also are focused on driving efficiency in our business, recognizing the need to deliver services in a way that is more precise and generates a greater yield on time and cost expended. Additionally, we continue to focus on driving increased profitability and enhancing the conversion of our profits into cash. On a year-to-date basis, Advantage generated approximately $294 million of adjusted unlevered free cash flow, representing a significant increase versus the prior year, driven largely by working capital benefits. As Chris will discuss, we are focused on balance sheet management. We will comment on long-term targets at a later date, but we are happy with our progress in achieving 4.2x net leverage relative to 4.5x at the beginning of the year, and we will continue to work towards bringing the ratio even lower over time. We are also making progress on our portfolio evaluation work, and we'll provide further updates in the first half of 2024. Our long-term success is tied to the people we employ and the talent we develop. This is why we are increasingly focused on recruitment and improving retention across our business. We hired more than 1,200 net new employees in the quarter, which has supported continued improvements in our in-store merchandising and demonstration businesses. In our sampling business, event counts were up 20% year-over-year, representing approximately 78% of 2019 level. We expect to see incremental improvements in the coming quarters. We continue to reduce turnover across our enterprise quarter-over-quarter with significant improvements in our part-time retention rates. In fact, we saw our lowest level of quarterly turnover since COVID and continue to work to retain our valued teammates and improve their experience in our company. We will further refine our talent practices to strengthen retention, which should allow us to provide better and more reliable service, enhance our execution levels and limit talent acquisition and training costs. Given our sheer breadth and scale, exemplified by our more than 70,000 teammates, we continue to regularly identify operational enhancements and levers by which we can simplify our service offerings while driving performance. Our team is energized for this challenge and is invigorated by the opportunities that we see for this business. We are designing our transformation road map based on a comprehensive strategic review and a range of inputs, including analyzing the macro environment, market trends and the competitive landscape. But even more importantly, we've assessed a wealth of stakeholder feedback, including from brand clients, retail customers, teammates and investors. Amid significant changes in shopper behavior and in how brands and retailers are evolving to meet new challenges in the marketplace, Advantage Solutions is embarking on a necessary multiyear transformation to integrate, cross-sell and operate more effectively as one company. The changes we're pursuing are intended to position Advantage for long-term profitable growth by doing three things: simplifying our structure; enhancing our processes and platforms; and strengthening our financial discipline. In doing so, we will deliver on our shared mission to generate demand for consumer brands and retailers converting shoppers into buyers in every way they shop. First, we will simplify our structure. While we've grown through acquisition and are proud of our competitive position, we have admittedly overproliferated our footprint historically, becoming a holding company of disparate businesses, which has created inefficiencies and barriers for strategic growth. As such, we are simplifying our operations by centralizing duplicative backoffice functions and streamlining commercial operations. In addition to our ongoing evaluation of our service offerings, our plans include better organizing our portfolio of businesses to align our capabilities with economic buyers. These changes will drive greater collaboration and cross-selling throughout the company, clarify the value-enhancing connections in our comprehensive suite of service offerings and demonstrate the collective value of our capabilities. Put simply, our evolved approach to the business will enable us to better address our clients' challenges from multiple angles, allowing them to benefit more from the collective power of our team and our services. While our business is comprised of two segments today, sales and marketing, the new anticipated reporting structure and disclosures are designed to center on three distinct service segments: branded services; retail services; and experiential services. Within branded services, the economic buyer is the consumer packaged goods manufacturer or an agent representing the manufacturer. Branded services includes our headquarter sales services where our teams execute as a strategic extension of CPG teams by selling their brands into retailers and executing their merchandising plans in thousands of retailers across the country. In addition, our brand-driven marketing solutions and our e-commerce marketing teams will report into this segment, among other capabilities. Retail services brings together capabilities and offerings where the economic buyer is the retailer. This includes, but is not limited to our single-source merchandising division called SAS and Daymon, which develops, builds and manages private brand strategies on behalf of retailer customers. Lastly, our market-leading demonstration and sampling businesses will form the core of our experiential services segment which serves both retail customers and CPG brand manufacturers in-store and at home. Our simplified and interconnected structure across branded retail and experiential services will enable more seamless execution, increased precision and unlock value for our stakeholders. To further accelerate our growth journey, we will enhance our processes and platforms. We're proud of our reach, agility and reputation for service. However, we have taken disparate approaches to running our individual divisions, which has also been compounded by underinvestment and overcomplexity in technology and systems. We have an opportunity to work smarter and faster. We intend to support our three business segments by centralizing all of our shared service functions. We will enhance our processes by building more cohesive ways of working and leading through best practices across finance, HR, communications, legal and IT. These changes will not only allow us to drive efficiencies and operational excellence, our centralized shared services model will also enable our branded retail and experiential services segments to focus more directly on driving business growth by solving problems that our clients and customers face. To me, technology is an extremely critical enabler to any strategy, and we have an opportunity to move from siloed duplicative data platforms to a more integrated cloud-based infrastructure with consistent reporting, analytics and enhanced artificial intelligence capabilities. Our plans include investing in tech modernization to upgrade our capabilities and speed. These enhancements will create a stronger and more stable beta environment, allowing us to manage complex data sets and drive actionable insights even faster. We have a strong technology foundation to build upon, but we need to upgrade some legacy systems to enable the heightened expectations that we have for our company. None of the structure or process enhancement can work without great people. We are fortunate to have a great team, however, we can better enable this team to realize their personal and professional dreams through improved talent management and better training. We will invest in top tier systems to help us both provide more opportunities for our teammates and deploy them more efficiently. We will also upskill key roles and add capabilities where needed within the organization. While systems and processes are important, people stay with a company and commit themselves based on the experience they have with that company. The experience many of our employees have at Advantage is mixed and can improve. This starts with a culture rooted in values that are modeled throughout every level of the organization and an inclusive workplace where every teammate feels they're valued and belong. These principles will underpin our DE&I efforts and service the energy behind our overall talent strategy. In addition to simplifying our structure, enhancing our processes and platforms, we will strengthen our financial discipline. Our business has historically maintained an overweighted focus on topline growth at times at the expense of profitability and cash flow. This is changing. We will look to achieve profitable growth and capture appropriate value for our services while maintaining a healthy balance sheet. Furthermore, we are behind on updating our infrastructure, resulting in several very manual processes. We're investing significantly in making the right changes between gender efficiencies, speed and accuracy in reporting. The changes we're implementing will improve how we forecast convert revenue into cash and bring enhanced rigor to our capital spending. While it will take time to fully adopt new systems and enhanced processes, I am confident in the team's ability to achieve that goal over the coming months and years. We also plan to introduce new financial and operational performance metrics designed to track progress against our strategic priorities while driving transparency and accountability for delivering results. We expect to begin reporting on these metrics and segmented results under the new structure on a quarterly basis beginning with our Q1 2024 results and plan to establish long-term targets to orient investors around their future goals. Our objective is to position Advantage as an employer of choice and a partner of choice with the right plans, the right people and the right capabilities to drive sustained profitable growth and position us as an investment of choice. Our teammates will deliver through shared values and a sense of purpose to connect people with the products and experiences that enrich their lives.  We're fortunate to be an organization that supports a sticky, fragmented customer base anchored in the long-term secular growth industries in CPG and retail. And I'm confident that the moves we're making in the coming year will set us up for the next phase of growth. By simplifying our structure, enhancing our processes and platforms and strengthening our financial discipline, we are poised to deliver new value for our teammates, clients, customers and investors. With that, I'll turn it over to Chris for more on our financial performance and outlook.
Chris Growe: Thank you, Dave. While our current business has significant room for improvement as it relates to simplification and process optimization, we believe that our long-term profitability will be driven by our ability to create value for both retailers and brands through our portfolio of differentiated services, which remains unwaveringly strong. I'm excited about our transformation work underway to drive that value. On a consolidated basis, third quarter revenues grew 4.3% year-over-year to a total of $1.1 billion. Excluding unfavorable foreign exchange rates and acquisitions and divestitures, revenue increased by 5.8%. Third quarter adjusted EBITDA was down 4.3% year-over-year to $113.1 million. Sales segment revenue decreased 2.7% year-over-year to $629 million, down only 0.7% excluding changes in foreign exchange rates and acquisitions and divestitures. Sales segment adjusted EBITDA declined 12.1% year-over-year to $67 million. The revenue decline was driven by our completed divestiture and intentional client exit in late 2022, partially offset by success in our pricing initiatives and growth in our European joint venture. The decline in adjusted EBITDA in the sales segment is largely a result of inflationary pressures in line with expectations, including wage and incentive compensation and increased technology spend. Marketing segment revenues of $468 million were up 15.5% year-over-year and up 16.3%, excluding foreign exchange and acquisitions and divestitures. This growth was primarily driven by the continued return of our in-store sampling and demonstration services to higher event counts and pricing realization across the business. Marketing segment adjusted EBITDA of $46 million was up 9.8% year-over-year, driven largely by the aforementioned return of sampling demonstration events and pricing realization, partially offset by inflationary pressures and increased technology spend. In the aggregate, our total adjusted EBITDA margin came in at 10.3%. Moving to our balance sheet. We continue to prioritize opportunities to delever our balance sheet and reduce our leverage ratio. For the third quarter, our net debt to adjusted EBITDA ratio finished at approximately 4.2x relative to the 4.5x at the beginning of 2023. We also continue to emphasize working capital management. For the third quarter, we converted approximately 94% of adjusted EBITDA to adjusted unlevered free cash flow. In line with the prior quarter, our debt profile remains healthy, and we have no meaningful maturities in the next four years. During the quarter, we voluntarily repurchased approximately $57 million of floating rate debt at an attractive discount, and we'll continue to monitor opportunities to deploy capital that deleverages the balance sheet while generating a favorable rate of return. At the end of the third quarter, our total funded debt outstanding was below $2 billion. As of September 30, approximately 88% of our debt is hedged or at a fixed interest rate. A summary of our debt and equity capitalization can be found in the supplementary slides for the third quarter results posted on the Investors section of our website. Additionally, we're happy to comment on an activity subsequent to quarter end that marks progress in our efforts to simplify our business. We completed a small divestiture of a niche retail analytics platform, Atlas Technology Group to Crisp in Q4. The transaction was accretive for us on a trading value basis and we're excited to work with Crisp, a leader in collaborative commerce for CPGs and retailers going forward. Crisp is a leading cloud-based data sharing platform that will offer Advantage's clients with enhanced supply chain and product availability information, enabling them to make faster decisions, optimize inventory and marketing and drive sales and loyalty. Turning to our outlook for the full-year 2023, we remain pleased by our deliberate steps to improve our financial discipline, combined with steady improvement in the economic backdrop. As such, we're more confident in delivering adjusted EBITDA around the upper end of the guidance range of $400 million to $420 million. Our guidance contemplates the continued realization of pricing, growth in in-store sampling and demonstration events as well as the completed divestitures and accelerated investments behind technology and talent. We remain diligent with regards to revenue management, our cost structure and our cash generation as we continue to strengthen our financial discipline to help fuel growth. Thank you for your time. I'll now turn it back over to Dave.
Dave Peacock: Thanks, Chris. I am confident in the leaders of our company, both new and legacy. We continue to work towards enhancing our people-first culture, optimizing our operations and serving brands and retailers. The people of Advantage have done tremendous work growing the company to where it is today. We have more than 70,000 teammates who wake up every day with a focus on serving the brands we represent and retailers where they work while enriching lives in our communities along the way. It's our job to enable their efforts and help them realize their personal and professional goals, a key step to becoming the employer of choice we endeavor to be. While we are always proud to celebrate our strengths and successes, we remain unsatisfied. That healthy tension is creating the energy and momentum we need to challenge the status quo and create a better future for Advantage Solutions. We look forward to providing you with more details as our ongoing transformation journey progresses at Advantage. We will now take your questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Faiza Alwy with Deutsche Bank. Please go ahead.
Faiza Alwy: Yes. Hi. Good morning. Thank you. So it looks like there's a lot of changes that you're contemplating at the company. Just two questions related to that. One is, are you able to size the potential divestitures that you are considering? And give us a bit more color around the type of businesses that you think don't belong with the company in the future. And then secondly, you've mentioned underinvestment in technology historically, how are you thinking about sort of the magnitude and the pacing of that technology investment over time?
Dave Peacock: Thanks, Faiza. Appreciate the question. On divestitures, we're not really ready to disclose a lot of detail. We hopefully will know more by the fourth quarter. We're obviously going through review some of the operations. And then obviously, for process sensitivities as well as personnel sensitivities, we want to be kind of smart about how and when we provide more guidance on that. As it relates to IT investment, I think we'll see increased spend over the next, call it, two years and even starting this year a little bit. It's actually showing up a little bit in our numbers. And it is a combination of OpEx and CapEx. I will say that the CapEx spend that we're looking at is not out of a range bound that we've spent before. So it's not a significant increase, but we are going to see kind of a greater portion of our CapEx, especially next year, being devoted to technology spend. And then on the OpEx side, it will be a reasonable increase in order to accelerate, frankly, some of the system transformation we're looking to do.
Faiza Alwy: Understood. That's very helpful. And then maybe you've talked a lot about how you've gathered feedback from a lot of different types of stakeholders, including your branded and retail partners. I'm curious if you can give us some examples or bring to life sort of some of what you heard and what led you to make some of these – take some of these actions at this point.
Dave Peacock: Yes, absolutely. And note that we're not looking a switch and everything is changing at once. This is actually a lot of work that's in progress. So as I would call it, we're bringing our organization along. But some of it was in the complexity of our current segments and trying to understand where different businesses kind of resided almost within sales and marketing and trying to really start from the economic buyer, if you will. And I mentioned in our prepared comments that if you think about our business, we have a range of services for CPG firms, a range of services for retailers and then this leading position in experiential space that really touches both closely. So we felt it would be better to organize that way. Also on the shared service side, this is simply a difference in strategy. The business had been more of a holding company of somewhat disparate businesses. And my personal background is coming from businesses where you've got a single HR group, a single finance group, a single IT group, et cetera. And I believe you get efficiencies from that. You can have kind of skill you need and talent in those parts of the business, and you can ensure that you just have efficiency in one way of working versus different HR policies and different companies, et cetera. So it makes us a little bit easier to work for, if you will, and I think enhances the effectiveness of the work that comes from the shared service group. So that is the why. The feedback from different constituencies was effectively, we needed to be easier to understand. And as we move towards the fourth quarter and into the first quarter, we'll be able to go in more detail as to what we're doing. And I think even you will find this a little easier to understand in sort of how we – how our business works and frankly, why it's such a great business.
Faiza Alwy: Great. Thank you. Just one quick one, and apologies if I missed this in the prepared remarks, but have you sized the divestitures that happened in 4Q?
Chris Growe: We have not given that information, Faiza, in terms of sizing it. It's a relatively small business, but we did call it value accretive, right? So we've got cash in the door. That will be at a level that's enough to be better than our multiple and better – and allow us to utilize that capital. So...
Faiza Alwy: Perfect. Thank you.
Operator: Our next question comes from Jason English with Goldman Sachs. Please go ahead.
Jason English: Hey. Good morning, folks. Thanks for slot me in. A lot to chew on today. So let's start with a few questions around the organization. Obviously, your business is very much a relationship business. What is the risk, if any, of disruption for any of the key relationship managers? Are they still going to be connected effectively to the same clients?
Dave Peacock: Yes, Jason. This is Dave. They will be. And if anything, some of the feedback from clients has been positive as we've pressure tested the approach we're taking.
Jason English: And why is it positive? Like why is it so obvious to clients that you have this change? It seems like if I'm a CPG client, maybe the change isn't so obvious to me that it sort of – it feels like business as usual.
Dave Peacock: I think it's business as usual to some degree, which speaks to your question around – concerns around relationship managers. By being business as usual and being a relational business, we are not disrupting those relationships. So I think that answers your first question. But I think it allows us to structure in a way to have the right talent and kind of weight, if you will, in leadership devoted to each of our client or customer segments.
Jason English: Okay, okay. And you mentioned shared services. I think many of us have always thought the real value of the business model is the shared labor force, the syndication of the shared labor force, the ability to leverage those economies of scale. That shared labor force has historically served both retailers and CPG brands, whether we're talking resets on behalf of retail or surge marketing, et cetera, in store and CPG's behalf. Where does that fit here in a structure where you've now broken out retail services separate from CPG services?
Dave Peacock: Well, I think, one, the shared labor force actually can be reinforced by what we're doing. By having one single HR unit and taking one collective approach to talent acquisition to leverage ultimately, a similar technology across the platform, it's only going to frankly help on the shared labor side, I think. And so yes, this, if anything, will reinforce that part of our business.
Jason English: So that labor force is one year shared services that's effectively going to be reporting up into two groups, the branded services group and the retail services group. Is that right?
Dave Peacock: No, I think that you have to look at it as you've got different commercial businesses, but you've got one way of working for the most part. So if you think of things like performance management, you think of things like onboarding, you think of things like from hire to in position and how do you reduce that timeframe. When you centralize HR processes and systems, it helps all those situations. And I'm going to really reinforce this notion of kind of speed from hire into position. That's one that we've seen just industry-wide. I mean anyone but large workforce can share that, that's a key enabler to talent acquisition and retention. And that's going to be better enabled when we consolidate our systems and our approach to talent acquisition.
Jason English: Okay, okay. Hopefully, I can get a little more clarity on how this is all structured as it takes shape and you start to disclose more because I'm admittedly still a little confused. The – associated with this, you are centralizing functions. Centralization of functions usually unlocks a lot of savings, but at the same time, your saying, "Geez, our systems are antiquated, our processes are a little out of date. We've got to spend some money to go after those." Are those net neutralized? Or should we expect this to be a net cost savings program next year?
Dave Peacock: It's a good question. I think to your point, it's kind of both and. So you're going to see an increase in investment next year. I think over time, you're going to see the savings and the efficiencies. But we've got some work to do as it relates to both our systems and our talent practices to ensure that we've got the greatest retention levels possible with our workforce and that we're deploying them as efficiently as possible.
Jason English: Okay. And I'm way over my normal question limit, but I'm greedy, I guess, so I'm going to squeeze in one more. I don't want to lose track of what's been the core issue here for the last couple of years, and that's been pricing power and your ability to mitigate escalating labor inflation cost with price. It sounds like you're still not caught up, like it's not even running at a treadmill and breaking even now, you're still leaking. So is there – I mean, is this a recognition that you're not going to get there and you have to address the delta by attacking cost? Or is there still reason to believe that you can at least get back to a point where pricing is able to keep pace with inflation, recognizing that recovery of what's gone is probably gone? And if there is the opportunity to get back to where you're at least keeping pace, what's got to change to get there? And how long is it going to take?
Dave Peacock: Yes, it's a good question. I think as we reported, if you will, we're narrowing that gap. We're improving our pricing capabilities each quarter. We're bringing in some talent as well, who really understands revenue management at its core, which will, I think, help us. You're obviously seeing labor and wage inflation abate a bit, although still higher than traditional. You have to believe cyclically that will improve over time. But your point about cost, look, our job is to make sure that we realize the greatest value for the services we offer, that we manage our mix and that we also are as efficient as possible in what we do. And to your point, I think there's things we can do on the cost side that can help kind of mitigate some of the inflationary pressure we've seen.
Jason English: Okay. Helpful. Thank you. I will pass it on.
Operator: There are no further questions at this time. I would like to turn the floor back over to Dave Peacock for closing comments. Please go ahead.
Dave Peacock: Thank you so much. Look, we feel very confident in the trajectory of the business. We feel we have a right to win with essential services, talented teammates, deep relationships and with upside to grow. And we're also very committed on continuing to generate cash in this business and be strategic about how we manage our balance sheet and also enhance value for the shareholders. So there's more to come. It's an exciting time at Advantage Solutions, and we thank you for your time.
Operator: This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation, and have a great day.